Ignacio Arambarri: Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you, who have joined us today for our 2023 First Quarter Results Presentation. As usual, we will follow the traditional format given in our presentations. We are going to begin with an overview of the results and the main developments during the period given by the top executive team that usually is with us. Mr. Ignacio Galan, Executive Chairman; Mr. Armando Martínez, CEO; and finally Mr. Pepe Sainz, CFO. Following this, we'll move on to the Q&A session. I would also like to highlight that we are only going to take questions submitted via the web. So, please ask your question only through our web page www.iberdrola.com. Finally, and in order to be helpful for you, we expect that today's event will not last more than 60 minutes, hoping that this presentation will be useful and informative for all of you. Now, without further ado, I would like to give the floor to Mr. Ignacio Galan. Thank you very much again. Please Mr. Galan.
Ignacio Galan: Good morning everyone and thank you very much for joining today's conference call. On the first quarter 2023, net profit reached €1,485 million, thanks to a strong operation performance. EBITDA increased by 38% to €4,064 million, driven by the recovery of the retail deficit accumulated in the previous years in the UK, a better operative performance in Europe, mainly due to the normalization of production after low high growing wind factors registered a year, which applied us to purchase energy in the wholesale market at very high prices and growth related to new investment in networks and renewables, which in the last 12 months reached €10,400 million. Of that amount €4,800 million were invested in networks increasing and diversifying our asset base even more and 4,600 in renewables. Fully in line with our strategic guidelines, we have combined this growth with an additional improvement in our financial strength. Our ratio FFO and adjusted net debt, increased by 130 basis points to 25.3%, driven by our strong cash flow generation will exceed €3 billion in just three months. As you know, a few weeks ago, we reached an agreement to sell 60% of our business in Mexico, mostly gas generation assets they have CFE as sold customers for $6 billion. This will allow us to focus on renewables in our thousands of industrial and commercial customers in the country. In addition, we have continued to close new partnership with gold-leading investment funds. Yesterday, we announced a new deal with GIC, the sovereign fund of Singapore to co-invest in transmission in Brazil in a similar transaction to one we announced with Norges Bank some months ago for renewables in Europe. Thanks to all these agreements in just three months, we have already reached our asset rotation target for 2025. Joining forces with Tier one partners, the good will reinforce even more our investment capacity. Now, that we need to accelerate the carbonization self-sufficiency through investment in electrification is more evident than ever. The latest policies announced in Europe, United States, UK and Australia are fully aligned with these goals. All in all, this results show very significant process in our '23, '25 plan, after just three months of implementation, in terms of profit cash flow generation, asset rotation and partnership and financial strength. Moving to operating results. EBITDA reached €4 billion up to 30%. The network business has benefited for higher asset bases in all geographies and higher revenues to the new tariff in US and Brazil in accordance with the current regulatory frameworks, which also include close that protect our results from higher inflation. Energy production and customers reached an operating result of €2.5 billion, increasing this contribution to more than 60% to total EBITDA slightly above normal due to some nonrecurring impact, both in 2022 and 2023. In the UK, Scottish Power recovered the deficit cumulated along the last quarters in its retail business and market condition improved slightly, thanks to increases in the tariff cap. Renewable production has increased due to higher resource and the contribution of new project that became operational around 2022, mainly United State and EU, a nuclear output has normalized in Spain after the unplanned outage of our Cofrentes plant during the first quarter of last year. Both effects have resulted in much lower earning purchase to third parties this year compared to 2022 when prices were exceptionally high as you know. Biographies, 80% of EBITDA comes from a rated countries with 42% correspond to EU and 36% to UK and United States combined. As mentioned, investment reached €10,400 million in the last 12 months with more than 90% allocated to networks and renewables. Network investment reached €4.8 billion up to 22%. As a result, our asset base reached €39 billion as of March 2023 with an increase of 11% from previous year. Renewables account for 45% of the total investment or more than €4.6 billion. As of today, we have already in operation our in construction 60% of our total capacity additions planned for 2025. We expect investment to accelerate in the coming quarters reaching a total €3 billion by the year-end. This acceleration will be driven by our offshoring project under construction in France, US, Germany and UK which will add 3,500 megawatts with a total investment of about €11 billion. All projects are progressing on schedule and on budget with the first export of St. Brieuc in France and Vineyard Wind US expected this quarter and the last quarter of the year respectively. These two projects will double our current offshore wind capacity reaching 2,600 megawatts. On top of this, we expect Baltic Eagle in Germany to be operation in 2024. East Anglia Three in the UK and Windanker in Germany starting production in 2026. We have already secured the supply chain in all these projects and the route to market for the period of 15 to 20 years through feeding tariffs in Baltic, St. Brieuc of contract for difference in East Anglia Three and PPAs in our US and German projects. Let me highlight that in a few months we have sold 100% of the output of Windanker in Baltic Eagle in Germany through PPAs to commercial and industrial customers, showing that markets are moving in the same direction as the European Commission is in its proposal for the electricity market reform. As a result today, we can affirm then our offshore wind expansion plan is already secured to 2020 final front. We have secured supply chains for the construction period. We have also secured the resources required to build them on time and buy it interoperate them efficiently. And we have secured revenues for at least 50 years at attractive prices, providing our access to our route to market. As a result, we expect an average spread over WACC between 150 to 200 basis points in all those projects. Funds from operation has continued to show a strong evolution exceeding €3 billion in the first quarter, driving for the improvement in our financial ratios with FFO to adjusted net debt increasing by 130 basis points to 25.3%. As Pepe will explain later on, net debt has remained flat over the quarter at €43.7 billion with an average maturity close to six years. And around 75% of the debt is at fixed prices or 87 if we exclude Brazil securing a significant stability in our financial expenses in the current macroeconomic scenario. In addition, our liquidity position of €21 billion covered 20 months -- 22 months of financial needs. As we announced it three weeks ago, we reached an agreement with Mexican infrastructure partners for the sale of 60% of our business in Mexico. A transaction fully supported by Mexican authorities and in compliance with the country's energy policy. The deal involved the sale of 13 plants that have CFE as customer almost 100% gas combined cycles for a total price of $6 billion to be collected at the closing expected in fourth quarter of this year. The transaction will allow Iberdrola Mexico to remain fully committed to the country. Maintaining a business platform that generates an EBITDA around $400 million per annum including 15 operational plan 9 of them renewables. And our commercial capabilities with thousand of Mexican industrial and commercial customers, and they can be sure that our commitment will then will continue in the future even accelerating our growth, thanks to our pipeline of more than 6,000 megawatts of renewable projects. So let me thanks again to all parties involved in this deal for their openings and the attitude base of mutual dialogue. On top of this just yesterday Energy announced another very relevant co-investment partnership with GIC, the sovereign fund of Singapore for co-investing in transmission in Brazil. The deal based on a 50-50 co-ownership will include our eight operating asset and the asset currently under construction are they reach commercial operation. It also covered the option for GIC to co-invest in any new project giving our Brazilian subsidiary even more access to new opportunities in the booming transmission sector in Brazil with as you know will hold new tenders worth BRL 51 billion only in 2023 improving at the same time Neoenergia financial position as well. And globally, this transaction adds an additional world leading fund to the group of partners that have decide to coinvest with us over the last months including of course Norges Bank, MAPFRE Spain or BP for charging infrastructure and green hydrogen or joining another one like Shell. In addition, two deals mentioned imply reaching in just three months the €7.5 billion financial target included in our rotation and partnership plan for 2023, 2025 plan providing Iberdrola even more access to new investment opportunities under profitable terms. This also shows our ability to reach agreement with Tier 1 global companies who want to co-invest with Iberdrola. Over the last three months we have continued to sign new PPAs with leading corporates providing them competitive electricity and helping them to meet their climate goals. Let me say this vein with PPA linked to our offshore wind project in the Baltic Sea, Meta for solar energy in the United States or Amazon Web Services has signed with us a PPA linked to our offshore facility in Baltic Sea as part of a global agreement that will be expanded to other geographies. The ability to sign multi-country deals with global corporate customers is one of our key competitive advantage with the PPA market which is booming, driven by the strategic decision of leading companies to secure competitive stable prices and access to the most efficient decarbonization solutions. We already have multi-country agreement with companies from different industries like ABInBev, Telefonica, Holcim, Amazon, Web Services, Vodafone or Heineken apart from relevant agreements focused in a single country. We are talking about PPAs in more than 10 countries with an average duration of 10 years, which together with our feeding tariffs and contract for differences linking mainly to offshore wind with an average tenor of 15 years and our access to retail SME market basically in UK and Spain, with an average contract duration of three years have allowed us to hedge 95% of our current production for multiannual period providing us visibility and stability at our territory prices. I'm sure that the share of PPAs in our portfolio route-of market will continue to increase in the coming years, driven by regulatory incentives provided in all geographies from the US to Europe. In the last days, our listed subsidiaries Avangrid and Neoenergia had presented their first quarter results, showing a robust performance in both cases. In the US Avangrid EBITDA reached $633 million, US GAAP with enter profit $245 million. The company continues to accelerate growth in networks and renewables with $2.7 billion invested over the last three months. And in progressing the new rate case for its New York, Maine and Connecticut subsidiaries, we will feel confident we'll be closed in the coming months in terms in line with our assumptions. In addition, Avangrid and PNM Resources announced the extension of the merger agreement until July, allowing sufficient time for the New Mexico regulatory commission to assess the deal. And just last week, Avangrid received a positive unanimous decision from the main court to go ahead with the NECEC project after emissions. In renewables, Avangrid continues to progress in its installed capacity expansion plan with 1,700 megawatts under construction, half of offshore wind with Vineyard Wind construction progressing according to and as mentioned and half in onshore wind. In Brazil, Neoenergia EBITDA increased by 14% to BRL3,620 million a net profit reached BRL1,250 million driven by new investment of close of BRL10 billion in the last 12 months. Just last week new multiannual tariff reviews were approved for Bahia and Rio Grande do Norte covering almost 60% of our Brazil asset base in terms better than planned. And we have commissioned for new transmission assets. In renewable we have reached 4600 megawatts of installed capacity, including the Paraiba complex, which I had the opportunity to integrate with President Lula da Silva one month ago. Now moving to the coronary context. After two years of crisis caused by gas prices, we see signs of a gradual normalization driven by a soft winter and efficiency measures introduced in Europe. We have helped to reduce impact on industry and residential customers. As a result of these, higher energy purchase, we see record high storage levels and more normalized prices. However, the crisis, are showing with all clarity the Europe dependence on imported fossil fuels need to be reduced quickly. For that reason, new energy policies in Europe in all our key markets are aiming to boost electrification through the acceleration of renewables and network investment. In the EU, the European Commission has published its proposal for the Electricity Market Design Reform and Net Zero Industry Act based in explicit recognition of the proper functioning of the current electricity market over the last decade. The commission proposed an evolution based on more single market and incentive to PPAs. This position goes back by 85% of the European stakeholders in the consultation name. The document does not allow any retroactive measures with a voluntary CfD auctions only for new renewables investment. As regard any potential stress situation the text is again seeking for a more Unity. In this case, an emergency statement issued by the European Commission will be required based on a fixed criteria before any new measures in the cyber member states. In addition, the proposal includes new support mechanisms to storage and grid incentivize flexibility service recognizing the key role of these technologies for the sustainability renewable base electricity system. As you know, following the standard process for the approval of legislation, the reform will require proposal both from the council and the parliament followed by negotiation among these three institutions through -- on the so-called trade locks publication of the final legislation and finally implementation by these members states. This process which usually takes around two to three years is trying to be accelerating this occasion. Iberdrola stand ready to continue collaborating with all the institutional stakeholders to reach a balanced solution that maximize energy security, strategic autonomy, decarbonization, competitiveness and affordability for all Europeans. The commission also unveiled recently is proposal for Net Zero Industry Act with the goals of building a stronger supply chains in the EU seating ph a specific targets of Europe production European production and new measures to provide more regulatory flexibility and easy access to EU funds. The act signals a key Net Zero technologies including an onshore and offshore wind solar PV storage, heat pumps and smart grids and set target for local production mix ph of them from 40% of solar PV components to 85% for wind turbines of heat pumps. The regulation also calls for an improvement of the current approval procedures for the electricity projects, including faster permitting and initiate access to financing. Once approved, this new regulation will join the recent agreed Renewable Energy Directive with increased renewable targets from the previous 32% to 42.5% share of the total energy consumption by 2030. We could mean more than 1,000 terawatt hours of additional renewable electricity. On the other side of the Atlantic new relevant regulation have also been introduced like the Inflation Reduction Act and the Infrastructure Investment and Jobs Act. The Inflation Reduction Act of RA has the clear goal of promoting electrification through more renewable and networks. To that aim, it increases the visibility of tax credit for wind and solar PV, securing finance level for two years, and introduced clear and simple incentive to green hydrogen promoting also local supply chains through PTCs and ITCs. The Infrastructure Investment and Jobs Act introduced additional measures with a similar goal focusing on great infrastructure improvement to increase resiliency and digitalization specific support for EBIT charges and easier financial permitting for remission project. In the UK, the recent Powering up Britain package re-filed the target of full decarbonization for the power sector by 2035, with in isolation plant for renewables and network investment and increase the carbonization ambition for transport industry and heat, including new targets like the replacement of all natural gas boilers by 2035. By the way, very recently Germany went further and advanced this target to 2025. In Australia, following the new legislation introduced by Prime Minister, Albanese, the country's emission reduction target is now set at 43% by 2030. This will require starting around 60 gigawatts of renewable capacity and huge increase in transmission and distribution networks. Before passing the floor to Pepe, let me now share some highlights of our progress in ESG issues following our commitment to social dividend. The transaction announced in Mexico means an additional step forward in our de-carbonization effort reinforcing our target to win Net Zero Scope 1 and 2 by 2030 in all three years Scope by 2040. In terms of circular economy, we have announced new batteries and blade recycling plant and the contention to photo models manufacturing facilities showing our focus on industrialization and local supply chains. We have also presented several innovation projects related to funds mostly focused on green hydrogen and green products. We hope the approval process will allow us to start investing as soon as possible, and contribute to Europe's leadership ambition in this technologies will be key to de-carbonize our economy, increase our sales efficiency, and create new jobs. In terms of governance, as you know we will hold our General Shareholders' Meeting in just today, Glass Lewis and ISS, two of the most relevant proxy advisers have recommended a positive vote for all items in our agenda. We also continue to receive different hours in this case from the World Jurist Association in New York for making climate change, one of the pillars of our governance sustainability system and for our defense of the Rule of Law. I will now hand over to the CFO, who will present the group financial result in for the detail. Thank you. 
Pepe Sainz: Thank you very much, Chairman. Good morning to everybody. As the Chairman has explained EBITDA was up 38% to – sorry to €4.1 billion and net profit grew 40% to €1485 million. FX evolution has had a positive effect on results. The dollar rose against the euro by an average of 5.4%, the real by 8.7% more than compensating the pound depreciation of 5.4%. This will change in the following quarters, but we have already hedged our FX risk for the year. Let me highlight that, the strong growth in Q1 is driven by higher production and higher sales much lower energy purchases and much lower prices than in the first quarter of 2022. We had in this quarter a one-off effect which is that the UK retail deficit was fully or almost fully recovered in this quarter versus our expectation to recover it during the year. And we had also a positive effect on gas management versus last year's first quarter. These results as the Chairman has said will moderate through the year as next quarter will not be as strong together with some additional one-off results in 2022 that will lower the difference. Let me point out that, the big driver of the growth in profits this year is basically going to be our U.K. business. Revenues increased 27.2% to €15.5 billion and procurements, 10 percentage points lower, 17% reaching €8.8 billion with less energy purchases at lower prices as I have just explained. In addition, gross margin is higher due to the increasing recognition on our IFRS accounts of higher than previous year's reconciliation impacts in the U.S. As a consequence, gross margin rose by 43% to €6.7 billion and 40% excluding FX and the above-mentioned reconciliation impacts which have also an important effect in our net operating expenses that increased 27% to €1.5 billion, but excluding the negative FX impact US$88 million for a pension one-off in the U.S. and €110 million linked to the above-mentioned reconciliation effects that are also recognized at gross margin level net operating expenses increased 70%. So excluding these impacts net personnel expenses that on a reported basis increased 30% grew 8.1%. Reported external services that increased 22% grew, 7.4% excluding the FX, €101 million of reconciliation impacts in the U.S., as I explained before. Reported operating income, other operating income grew 15%. Analyzing the results of the different business and starting by Networks, its EBITDA grew 4.5% to €1,659 million. In Spain, EBITDA increased 6.1% to €434 million due to the regularization on revenues linked to investments made in previous years. In Brazil, EBITDA grew 18.7% to BRL3.3 billion, driven by positive impacts in distribution from tariff adjustments and higher contribution from transmission assets. As the Chairman has explained, tariff reviews for the next four years have been better than expected and those will incentivize -- continue to incentivize investments in Brazil. In the U.S. IFRS EBITDA was 14% down to US$408 million due to a negative impact corresponding to the reversal of $99 million from pension provisions accounted only in IFRS in Q1 2022, partially compensated by the recognition of bad debt costs associated to customer protection measures during the COVID called arrearages. U.S. GAAP EBITDA increased 7.9% to $535 million. Finally in the U.K., EBITDA decreased 10.1% to £225 million with lower contribution from transmission assets affected by temporary remuneration effects to be recovered from Q2 onwards. Energy production and customer business, EBITDA increased 77% to €2.4 billion. This growth as mentioned is influenced by several factors and will moderate through the year as next quarters will not be as strong. In Spain, EBITDA was €1,190 million with higher production thanks to higher output especially in hydro and nuclear with 3.1 additional terawatt hours produced that had driven higher sales and low energy purchases at lower prices. In addition, there is a positive effect in gas management versus Q1 2022 that will not repeat during the next quarters. In the U.K., EBITDA increased 144% to £580 million thanks to the collection of £275 million past tariff deficit in Q1, which had a negative impact in 2022 together with margin recovery partially compensated by lower onshore wind output. The exceptionally strong result of this quarter will come down through the year as we have collected in Q1 most of our 2022 deficit. In the U.S., EBITDA increased 13% to $167 million thanks to 4.7% higher output due to new installed capacity and better prices. In Mexico, EBITDA grew 3.7% to $223 million thanks to new capacity in operations since May 2022, partially compensated by a lower wind load factor. In Brazil, EBITDA fell 2% to BRL 412 million, as contribution from renewable installed capacity is offset by lower contribution from thermal business. Finally, in the rest of the world, EBITDA grew 1.5% to €131 million with higher capacity in operation compensated by higher costs associated with international expansion. EBIT was 57%, up to €2.7 billion. D&A plus Provisions grew 10% to €1.3 billion, mainly due to the higher asset base and activity and bad debt evolution due to the increased customer billing. Net financial expenses grew €111 million to €510 million. Debt-related costs grew €164 million. €74 million increase is due to higher average net debt mainly due to growth in CapEx, €68 million due to the higher cost of debt, 96 basis points to 5.08% and 78 basis points excluding Brazil to 3.63%, despite interest rate increases of over 220 basis points. Brazil's cost increase is compensated at EBITDA level by revenues indexed to inflation. This has been partially offset by €53 million positive non-debt-related results mainly linked to the FX hedges. Our reported credit metrics remained solid as for the last four quarters average FFO increased 14% versus an 8% average adjusted net debt growth. As a consequence, FFO adjusted net debt rose to 25.3%. Retained cash flow adjusted net debt remained stable at 21.2% and our adjusted net debt to EBITDA improved to 3.1 times. Our adjusted leverage ratio was 42.2%. Adjusted net debt remained below €44 billion similar to the end -- to the levels of the end of 2022 driven by our strained cash flow generation. Given recent transactions in Mexico and Brazil that will improve versus guidance when we close these deals. Net profit grew 40% to €1,485 million with lower equity method coming from Avangrid due to the offshore CIP reorganization in 2022 that increases tax rate, but reduces minority interest this quarter. Taxes in 2023 are affected by the non-deductibility of the 1.2% tax in Spain. Now the Chairman will conclude the presentation. Thank you.
Ignacio Galan : Thank you, Pepe. You have seen this set of results shows a strong operational performance in the first three months 2023. We expect this trend will continue over the rest of the year driven by an acceleration of organic investment in the coming three quarters to €12 billion in the full year due to new permits progressing our offshore wind project with first exports as I mentioned from St. Brieuc in France planned in just a few weeks, and full commission in December, and Vineyard Wind in U.S. having also its first export before the year-end. In addition, the new rate cases in U.S. and Brazil, the U.S. already had in starting from May, and Brazil it has been approved will also drive increasing investment. On top of that, business conditions continue improving. We had received now at average levels and renewable to normalize, additional revenues from new tariffs in our networks business in the U.S. and U.K. and Brazil, the recovery of the retail deficit in U.K. and the ongoing improvement of operating efficiency. We've also increased even more our financial strength, a key pillar of our strategy. We've already implemented 100% of our asset rotation plan targets with proceed cash before the year-end. Our operating cash flow continues growing allowing us to maintain our debt flat and reinforce our ratios. 75% of the total as fixed rate, up 87% including Brazil in minimizing our exposure to any volatility. Our liquidity needs are covered for 22 months and our business profile continues to offer protection against inflation and interest rate. Finally, following our user policy at close hedge to secure the value of our net profit in euros. We also expect a normalization of the quarterly distribution of net profit after the unusually low evolution in the first quarter of 2022 driving to increase our net profit outlook to mid to high single-digit growth excluding additional extraordinary items showing that we are already progressing our plan 2023 to 2025 ahead of schedule on result on national rotation on investment with around 60% of our plant capacity addition are already in operation and construction and our net good investment fully backed by rate cases approved under advanced negotiations. And our strategic investment partnership with the world-leading funds like Norges Bank GIC in addition to our 11-year strategic alliance with Qatar Investment Authority with key industrial partners. All this makes us optimistic about reaching the financial industrial social target included our plan. Thank you very much. And now we will be more than happy to answer your questions. Thank you. 
A - Ignacio Arambarri: The following financial analysis professional have asked the question that I will now submit to the managers which are driving this event. First one is Gonzalo Sanchez-Bordona, UBS; Manuel Palomo, Exane BNP; Javier Garrido, JPMorgan; Rob Pulleyn, Morgan Stanley; James Brand from Deutsche Bank; Mark Freshney, Credit Suisse; Ahmed Farman, Jefferies; Jose Ruiz, Barclays; Fernando Garcia, Royal Bank of Canada; Fernando Lafuente, Alantra; Jorge Alonso, Societe Generale; Javier Suarez, Mediobanca; Philippe Ourpatian, ODDO; Jorge Guimaraes, JB Capital; and finally Andrew Moulder, from CreditSights. We have a set of first question related to the guidance given. The first one is have you increased full year 2023 guidance from mid single-digit growth on €4.3 billion net profit for full year 2022 to mid to high single-digit. What are the drivers of this profit increase? 
Ignacio Galan: So same issue. Yes. We are already increasing from mid to high single-digit growth. And I think the drivers are simple. I think is we are planning 3,000 new megawatt of additional capacity which 500 of those will be offshore, higher high-growing wind output due to the higher reserves and normalized wind factor. In networks the rate cases in Brazil I just mentioned has been approved mentioned already in the US, which we expect will start already New York, especially, from May. The recovery to continue recovery even in the smaller scale the previous year deficit accumulated in UK accumulating UK after new regulatory measures as well as adjustment of the price cap from April. And I think it's the optimization as well of the financial profile thanks for the organization of the capital instruments. So but I think I would like to insist yes, we are already increasing our local outlook from mid- to mid- to high single digit for the reason I have already explained. 
Ignacio Arambarri: Second one is thus the guidance includes any potential capital gains from Mexico and Brazil transaction. Can you please clarify if the guidance for 2023 for mid- to high single-digit net income growth includes the impact of the Spanish special energy tax? 
Ignacio Galan: So our guidance does not -- as I mentioned before does not consider any additional extraordinary result -- and I think that is our case. It's not already considering any result for transaction already closed. When we make our estimate we always are considering -- we are not considering capital gains for asset rotation transaction. Of course in terms of the taxation is included it's already included in the first quarter. This 1.2% is already in our accounts for the first quarter years as Pepe has already mentioned as partially already compensated by another positive things we had already did mainly the fact that we've been not forced to buy a huge amount of electricity because of the problem we faced last year with Cofrentes and because of the low high-growing wind resource we had already during the first quarter last year. Then this year, fortunately at last year, very high price fortunately, all this thing has been normalized. Cofrentes is working as a normal condition and the hydro is already, an average reserve. We have already a reasonable situation during the first months of the year, in our total reserve of our dams are already at the normalized fully normalized. 
Ignacio Arambarri: This question is related to the weather condition in Spain. Could you please, update the situation of the hydro reserves in those areas where you are exposed, to and how it compares with historical average, if possible. 
Ignacio Galan: Armando, can you... 
Armando Martínez: Hello everyone. Good morning to everybody. As the Chairman has just said, our reserves now it's normalized based on the range that we have in December and January, that was mainly on the Northwest of the country and also for our pumping storage capability. So I think in the Duero and Tajo River, we had increased a lot compared with last year. And also in Miño, I think our reserve now is around 60%. It's not the same case and in the [indiscernible] river that is decreased, because now the situation is much better in the Northwest. 
Ignacio Arambarri: Next question is, considering the asset rotation done, new guidance for net debt by year-end and also on the dividend per share. 
Ignacio Galan: Pepe can you? 
Pepe Sainz: Yes. Yes, including the PNM deal. So our guidance will go below the €50 billion. Remember, that more or less our budget was that we were going to be around €54 billion, including PNM deal. And now we are expecting below €50 billion. And on the dividend per share, I don't know if you want Chairman to comment on the dividend per share, they are asking also the dividend per share. 
Ignacio Galan: How much is it increase? 
Pepe Sainz: Yes. 
Ignacio Galan: I think as always in line with increase of the net profit as well. So, I think we will continue our policy always on the payout of 65% to 75% payout and that mix, and the increase in dividend will be in line, with increase on net profit. So, that is the idea. 
Ignacio Arambarri: Next question is kind of a crystal ball question. When do you think the clawback in Spain, and windfall taxes in Europe will be removed? 
Ignacio Galan: Well, I think is -- we are seeing that the market of gas market is becoming normalized. And our guidance consider, that it will be considered they will be extended for the whole year. Although, we are seeing that this normalization of gas prices, we have not seen any reason to stand beyond the summer. So I think the fact we have seen, then the Spanish exception has not been applied at all in this moment, because the prices are lower than those has been already intervene. I think my point is, that we need to already -- we need huge investment required. If we would like to become more efficient in energy, if we would like to avoid already situation like we passed last year. And for that we need huge, huge investment, for making this huge investment require stable predictable frameworks. I think is the way of continuous intervention. I think last year, was already -- if I don't remember, but I think 12 different changes in legislature in Spain, for -- in electricity, when the problem was gas. So nothing we need to already this stability, predictability, good light and this carbonization as efficiency will be done. I think my word and using the word with some of my colleagues are using systematically. We need in Europe, more car roads and less sticks. So I think, we need already to be -- to provide more like American are doing providing more car roads. I think we need already facilitating facilitating facilitating incentivating incentivating incentivating not penalizing penalizing penalizing, because its not the investment will be not already flowing in the amount which is going to be required. 
Ignacio Arambarri: Next question is related to the European regulation. When do you expect firm details from European power market reform, Net Zero Act and Net Zero Green Deal industrial plan, what are market expectation for the European Union Renewables directive and whether permitting can be accelerated? 
Ignacio Galan: Well, many things in Europe has been done. I think we are talking too much about IRA American IRA which I think is great to recognize. But mainly our American IRA is already providing this stability and predictability. I think the ITC and PTCs were already in the system from the – since the Obama's administration. So that is 12 years ago, 13 years ago. But I think now they are providing visibility 14 years. They're already facilitating the access to latest credit through much large number of potential providers. And they have already a single simple system for access into this support. So either for the ITCs and PTCs related to the investment in renewables or for the green hydrogen or for already any industries related with decarbonization. So in Europe we've been already – we had already defense and we have already this in many years ago. The next generation due was precisely defense were 40% of these funds were for allowing and permitting and accelerating the energy transition. So I think that's there. The point is that we are sometimes – we need to accelerate the implementation. For instance, I think in the green hydrogen there are many, many projects. We have already many projects in Spain for that one in other countries. Still we don't know what is going to be the support we are going to for those projects. So I think we need to already accelerate it. Brazil already approved but still is spending of the Spanish approvals. So in terms of the market – energy market reform I think all the improvements are fine. But I think something which is important has been said by European Commission as I mentioned. It's the first thing the market has already performed well. I think we have not had blackout in Europe. I think it means the investment has been flowing in time for such the European will enjoying a very good electricity system in the continent. So – and that's why I think they are saying what they're trying to improve. So they are trying to promote long-term contracted so these promote these PPAs. They are already trying to promote already even a secondary market if needed. They are given already the voluntary CFDs in some situations we are having CFDs in this moment in some countries but save the auctions, but voluntary ones. So and they are already trying to make the things in a manner that incentivize, incentivize, incentivize, the flow of money, the flow of investment into the continent for diminishing our dependency, external dependency of fossil fuels and increasing our sales efficiency.
Ignacio Arambarri: Next question is related to the B&M deal. Can you give us the latest update on the situation for the approval of the PNM deal? 
Ignacio Galan: So as I mentioned, we have already signed with PNM and the agreement extension for three extra months, which we consider is time enough for being revised all the deal by the new regulatory commission. So we continue committing with the transaction. I think that fits with Avangrid strategy and is very positive for New Mexico customers. So the fact I think there are big social support to the transaction in New Mexico. So that demonstrate the 24, 23 of the 24 parts we has been parties has already been presented in the deal. So I think they are already supportive. So – and all the permits related to the rest of federal authorities, et cetera, et cetera are of time. So I think we are confident and we are fully committed. And I think we expect that these three months agreement extension will be enough for already obtaining all the permits to continue and to complete the transaction.
Ignacio Arambarri: Question number eight, does Iberdrola plan to beat in the UK offshore CFD auction around five this year. 
Ignacio Galan: So can you repeat, please? 
Ignacio Arambarri: Does Iberdrola plan to beat in the U.K. offshore CFD auction round five this year? 
Ignacio Galan: Well I think we are selective. I think as I mentioned before, I think auction is one of the routes to the market. I think we are countries and we are already having the CFD auctions. In Britain, we have already is Anglia three in that one. In Germany, we are already through PPAs. In the state we are through PPAs it depends. So I think in that case I think we are already – we will analyze and we will decide what should be the route to market we are going to take for this project. But our intention certainly is to go ahead with the project, if the terms and the conditions are attractive enough.
Ignacio Arambarri: The supply chain is the next question. Do you see any risk in the US regarding the supply of PV panels from Asia initiative to revert the exception granted by President bidding of the fees for two years?
Ignacio Galan: Well, I think that is a question that you have already passed to me previously. I think, if I not remember that, I think we had only one project that has been effective for the restriction in the state a solar panel we now is solved. So I think the restriction that we have already are removed. But I think our plan is in this moment, as I mentioned 1,700 megawatts under construction. Offshore is accounting for 50%, and the rest is already just fully covered by all the agreements, with the suppliers. So as I remember, only we have already a problem with what we know is fully removed the restriction we had already.
Ignacio Arambarri: This question is related to the US offshore wind activity may we ask the latest on US offshore wind is Commonwealth win canceled. What's the latest of Park City negotiation and does Iberdrola still see US offshore wind as an attractive market for the capital allocation?
Ignacio Galan: So it's related to the Commonwealth. So well I think the system in the United States, the auctions in United States is based on a fixed price with no revision during a long period. So I think that has already been working for the few years. Once you can already fix your CapEx with suppliers we can already given to you fixed terms for making already the complete construction of the project. Unfortunately, the thing -- and nothing as were the terms in which not ourselves everybody another project we were already bidding in this context. The fact, I think in the terms of the agreement the contract has a close that you are allowed to leave this project if you are -- for whatever circumstances you feel that you are not already ready to build on the terms you have already committed. So I think that's already is in the contract. It's already a penalty if I remember that on the range of $20 million something else. But I think it's already that one. So I think -- and what has already happened since the moment we make -- we're going to debate and we make the offer. So the thing the work has already changed. So I think now the prices are not any longer the level they had already a few years ago are much, much higher. They offer the prices been offered by the vendors. The even they are not ready to keep already these prices fixed for a period of four, five years, we take the construction of those assets. And I think we've been forced to say sorry. We'll apply the close number whatever which is in the contracting we will not proceed with the project in these terms. And that's it. So I think what that means? That means that they -- probably they are going to make a new auction. And I think we will provide the terms of the new auction. If the new auction in the terms are already attractive we will go ahead with it. If not we will look for another route-to-market. So it's the same thing. But it's not -- our commitment in the state continues. I think the fact we are the only one, which really we are already building a construction and offshore wind farm which is inter win, with the first point is going to be held during this quarter. And I think our commitment there is continued, but I think we are not ready when we have the certainty the terms in which we have already gained the bid are not any longer sustainable. We have already -- we have to denounce that one and to move back to better condition and to apply the close in which we have the right to leave the project if that is not really convenient. But then everybody in the state has already done the same thing. So it's not ours everybody. We are in the same position.
Ignacio Arambarri: Next question is, could you update us about the US IRA short-term impact already secured? Question number on the IRA US IRA the impact?
Ignacio Galan: Yeah, yeah, well, I think as I mentioned is I think is a good news. So I think that gives already visibility for 10 years. So in terms of the ITCs and PTCs we can already head. And the second thing is we have access to much more potential providers or the funds for the ITC and PTC. So I think we can diminish the cost of financing on these terms. And the third one, I think, there are certain -- another kind of support related to the grid, they're going to make providing certain extra funds for electrifying, including the transmission electrifying certain services. They are giving us some money for providing power for charges, et cetera, et cetera. And finally, we have a good thing, which is the access of our repowering. We are unique. We have almost 10,000 megawatt already win installed in the United States. What they are allowed probably 30%, 40% or 50% of all how much, but very huge amount of this are allowed to be repowered. This repowering has access as well to these ITCs, PTCs. And we have already for those customers, we have as well the PPA sign, which I think we can extend the PPAs and we can already extend for longer even for better condition with a more powerful wind farms that with much lower CapEx than those we have been forced to make already a greenfield, so which I think that is a great opportunity for us all this repower. Then probably a thing I imagine my colleague Pedro Azagra will explain to you in due time about all this thing in more detail. 
Ignacio Arambarri : Next question is regarding asset disposals. Once the target has been completed, could you consider selling additional assets? Is it still the sale of renewable assets in the U.S. on the table? 
Ignacio Galan : Well, I think, we are always revising our asset base. And I think we make already a target. The target is completed. That doesn't mean that we are going to go to bet. We will continue alive, and we will continue analyzing these in opportunities. If there are any opportunity arise, sure, then we will be ready to look at it. But now our plan for 2025 is important to say, then is completed. So -- but I think always we are ready to look and to revise. But now there are not any new plant to make any another thing unless we will -- those what will be needed in some particular places. 
Ignacio Arambarri : Next question, can you explain the rationale for the deal with GIC to promote electricity transmission in Brazil? With this agreement, is your asset rotation plan finalized or more to come say…
Ignacio Galan : Well, I think for me the most important thing with GIC is that the largest sovereign funds of the world would like to be our partners and to co-invest with ourselves, I think for ourselves and for our team is a very good news, means we are a reliable a company, which people likes to do things together. So which I think that means our reputation in this financial, large financial institution means it's very good. The second thing I think that for me is important. I think to have as partners NC, Norges to have as partners GIC, [indiscernible], IKEA, [indiscernible], Shell. So I think that that offer to us already and to offer a very good sign that we are serious in our approach to doing things. In the case of Brazil, I mentioned the opportunities of transmission are huge. So I think only this year the plan is presented by the government is BRL 50 billion investment in transmission. So I think we are in this moment making 1,000 kilometers of transmission, high voltage transmission lines and something like 30, 35 substation, so which I think is a huge investment. So that offers the opportunity the possibility to accelerate our presence in our expansion in Brazil without sacrificing the financial solidity of our subsidiary. So that will allow Neoenergia to diminish to consolidate any huge amount of their own debt and to have the opportunity of participate in another transmission, which we are demonstrating then is and has already generated a lot of value. So I think when we won three years ago these auctions soon people were criticizing then those has not already add value. So I think the fact that these large sovereign funds are already ready to buy and to ready to participate with ourselves, means that for them that is already a business which adds real value. And I think it's adding real value, we analyze already the transaction and the opportunities which we're generating. We have already accumulated a huge experience in that one, which I think allow ourselves not only to make destiny in Brazil or in the United States. Also we are looking at opportunities in Australia because as we had already these opportunities in Britain. In Britain, you know we have already been awarded with another submarine transmission line to connect call Eastern link similar to those one we make the Western link connecting Scotland with Quay Bay Western and connecting Scotland with England the Eastern link. So I think that is one of our let's say areas of special skills special know-how that we are already developing. And that is already why certain largest sovereign funds of the world would like to share with us and to invest with ourselves in this project, because I insist they are generating value they consider generate value. We are convinced that generating value.
Ignacio Arambarri: This question has been already answered, but I would like to -- just to point it out that it's interesting to repeat. Can you explain the 400 bps versus consensus of Q1? And the second part, can these results be considered as the quarterly underlying performance for the rest of the year?
Pepe Sainz: Well, as we have mentioned, obviously this has to do with -- especially, I would say there is a £275 million improvement in the UK business and also as in Spain, we have had higher production a normalized hydro situation. As Armando has explained also that we don't have the problems of the nuclear plant. And also we have a better performance in our gas business. I think these numbers are -- we cannot consider that this could be repeated. And I think that in the next quarters, we will see that although we will have a relatively good performance we will not be repeating these numbers.
Ignacio Arambarri: We are now reaching the last question number 17. And the rest if there is another one question that we are going to receive, we will answer it from the Investor Relations department. Number 17 is set. Iberdola is promoting the largest green hydrogen hub in Huelva. Can you update us in our view on the role that hydrogen is likely to play in the European energy mix?
Pepe Sainz: So I think this project as you know is already our plan is we are already building solar power plant in the area, also which can be combined as well with another source renewable we have as well in the area of wind. So we have already the mix of wind and solar in the area. We had already the land and all those things for making that one. We have already presented them to the European funds has been approved the IPCEI funds in Europe, the project has been considered as a project to be already funded. And I think we have reached the total CapEx involved on the range of €2.5 billion something like that. The plan is not only to produce hydrogen to produce ammonia. Ammonia which can be used already locally you can be exported. So that is a conglomerate on that one. And we are expecting just the decision from the Spanish authorities. So I think Europe has already approved. We have already all the premises, the land, the connection, the power everything is ready and we are spending to know what is going to be the level of support of this project. So we have a similar project as well in Sines in Portugal which as well has been presented to the European funding projects and I think is to make that one. So I think there are two similar one as well in Sines we have the land. We have all the project approved for making 1,200 megawatt already in the near area of solar. So -- and also the similar one. I think in both cases are identical in the sense of producing electricity, renewable electricity green and solar plus to make hydrogen and this hydrant to being transformed in ammonia. So ammonia to be used locally or to be exported and we have already even on MOU signed with takers of that one in Netherlands. So which I think that the projects are very advanced.
Ignacio Arambarri: Okay. Now, please let me give the floor to Mr. Galan again to conclude this event.
Ignacio Galan: So thank you very much for taking part of this conference call. I would like to remind you that on Friday, we will hold our AGM which as you know can be attended through different digital channels. In any case for today's presentation, our Investor Relations team will be available for any additional information you may require. Thank you very much and I'll be delighted you attend already this AGM. Thank you very much.